Botagoz Muldagaliyeva: Hello, everyone, and welcome to Kazatomprom's conference call to discuss 2025 half year operating and financial results. My name is Botagoz, and I'm leading the Investor Relations team at Kazatomprom. Thank you for taking the time to join us today. Traditionally, our conversation will begin with the management presentations, which today will be delivered by Mr. Dastan Kosherbayev, Chief Strategy and International Development Officer. Let me take this chance and pass the apologies from our CEO who could not participate at today's call due to business travels. [Operator Instructions] For those who joined through the company's or the London Stock Exchange website, there will be slides displayed during the remarks. These webcast slides will be available for download in English and in Russian shortly after the call. Note that our press release, full version of the 2025 half year operating and financial review, along with the financial statements for the 3 and 6 months ended 30th June 2025, are now available on Kazatomprom's website. Participating in today's call, we have Dastan Kosherbayev, Chief Strategy International Development Officer; and Seitzhan Zhanybekov, Managing Director for Sales. Please note that this conference call may include forward-looking statements. These statements include all matters that are not historical facts, by their nature, forward-looking statements involve risks and uncertainties and they are not guarantees of future performance. The company does not make any representation, warranty or prediction that the results anticipated by such forward- looking statements will be achieved. I am now passing the floor to Mr. Kosherbayev.
Dastan Kosherbayev: Thank you. I'm delighted to welcome and thank everyone for joining our conference call on 2025 half year operating and financial results. Kazatomprom continues to demonstrate both reliability and a responsible disciplined approach in its operations. Prior to moving to the company level discussion, we would like to reiterate the worldwide recognized importance of nuclear energy, which by now has become an integral part of the global energy policy. The strong fundamentals of the uranium market underpin our confidence in the industry's long-term prospects. News from various jurisdictions about their plans to incorporate nuclear energy into their energy mix as a base load option to expand existing capacities by constructing nuclear power plants or extending the lifespan of operating ones, continue to support the global nuclear agenda. This reinforces our conviction that the second nuclear renaissance is not a short-term trend, but a lasting structural shift. The most recent example of that comes from Japan, which has announced plans for construction of the first new nuclear power plant post Fukushima. As the world's largest producer and seller of natural uranium, Kazatomprom fully recognizes the critical role the company has in supporting the global energy transition. We remain committed to delivering long-term value to all stakeholders. Industry forecasts remain to reveal a growing supply gap that current production volumes will now be able to meet in the expected future. By 2040, the cumulative uranium supply deficit is projected to reach approximately the 570 million pounds U308, volume that underscores the significant supply challenge facing the industry. In response, several producers have made the decision to restart idle capacity and bring new projects into production. While these efforts will help address near-term requirements, they will not be enough to cover the industry's growing ran needs beyond 2030. This shortfall is exacerbated by geopolitical uncertainty, inflationary pressures and global supply chain constraints. Some of these factors were previously viewed as transitionary but are appearing to be persistent. As we have repeatedly stated in our previous disclosures, the market will require the equivalent of another Kazatomprom size producer to keep pace with future demand. A frequent misconception in the market is the assumption that new uranium supply can be developed quickly and at a low cost. In reality, advancing new projects is a lengthy and complex process that involves exploration, permitting, infrastructure and financing, all of which require significant time and capital. This reality is often underestimated leading to overly optimistic expectations about how fast new supply can come online. Surveys, including those conducted by IAEA confirmed that the world hosts sufficient uranium resources to meet long-term demand. However, a growing proportion of these resources is more technically challenging and costly to access. As a result, depending on one's position on the production cost curve, current market prices may not be sufficient to justify the investment needed to bring these projects into production. The typical 8 to 15 year lag from discovery to production means that even near ready projects face hurdles like permitting, financing, environmental approvals, staffing issues and technical ramp-up even when a project achieves commercial production, it is still subject to operational challenges. All these factors point to a slower-than-expected supply response precisely the time when utility is concerned about geopolitical supply risks are starting to lock into long-term contracts. Kazatomprom is currently undertaking a large-scale exploration in Kazakhstan, which is a top priority for replenishing its resource base and maintaining its leading position as a global nuclear fuel supplier. Worth noting that this strategic initiative received a full support at the highest governmental level. The unique geology of Kazakhstan enables us to augment substantial volumes of our resource balance at a far lower investment scale in comparison. Such an advantage reaffirms our trust and investment to exploration of new territories, depreciating any efforts to acquire additional nonattributable reserves at our existing mines. Speaking about the production from other parts of the world, we're eager to hear more positive developments from new and previously idled mines. We firmly believe that the current market conditions offer opportunities for every participant in the fuel cycle to thrive. A significant factor driving the market structural shift is the production and sales discipline sustained by key uranium producers. Specifically, our adherence to market discipline aligns with our strategy of generating long-term value for our shareholders. The current uranium spot price level of around $70 per pound is similar to the price level at the end of 2024. However, the uranium spot market was volatile over the past 6 months with a low of $63 per pound mid-March and pull back to $78 per pound by the end of June. Despite the volatility in the spot uranium market and the broader capital markets, some of which may be due to uncertainty brought by tariff wars uranium long-term price has remained stable at $80 per pound, proving that fundamentals remain strong. The company continues to adhere to its established market-centric approach, ensuring that its uranium supply remains closely aligned with demand and the production decisions are driven by long-term value considerations rather than volume growth targets. As part of ongoing operational enhancements, a number of companies mining subsidiaries are in the process of amending their sub- sold user agreements. These amendments establish new nominal license production levels for the affected entities, thereby changing the reference benchmarks against which actual production is measured. Concurrently, negotiations with joint venture partners remain in progress, the outcomes of these discussions may result in fusing refinements to Kazatomprom's 2026 production expectations, in line with the updated development strategy for 2025 to 2034, which emphasizes the efficient use of the resource base. The company will exercise a responsible, disciplined approach and now flex within the acceptable 20% deviation under the updated 2026 subsoil use production levels. Actual 2026 production guidance remains subject to ongoing negotiation with JV partners and broader market considerations. Sulfuric acid supplies for 2026 are estimated to be stable, diverse geological characteristics of the company's assets, combined with residual effects for past supply constraints, may lead to variations in uranium recovery rates and different percentage rate decreases compared to the levels stipulated in the subsoil use agreements across individual mining operations. Detailed in the newly published 2024 competent person's report on the mineral assets of the company. 2026 nominal production level on a 100% basis is expected to change from around 85 million pounds of U3O8 as per 2021 data to about 77 million pounds representing about 8 million pounds or roughly 10% decrease, most of which is attributable to JV Budenovskoye production adjustments. The company believes that the group's update production profile represents a more sustainable deployment of its mineral assets in line with the updated development strategy for 2025, 2034, which concentrates on the efficient use of Kazatomprom's resource base. The company maintains a robust inventory position and a disciplined sales strategy, ensuring that all delivery obligations will be met in full while retaining flexibility to respond quickly to market developments. Turning to our half year results. The company has demonstrated a robust performance, which reinforces our confidence in achieving our 2025 targets. Let me now draw your attention to our updated sensitivity analysis. Our estimated group average realized price remains in line with the levels shown in our previous sensitivity table, with several changes in the years ahead, attributed to amendments and the methodology expected to deliver more precise results. Our sales portfolio continues to show one of the strongest correlations with spot prices in the entire market. Our first half 2025 financial performance reflects both the strength of our operations and certain time effects that influenced year-on-year comparisons. For the period, the group's consolidated revenue totaled KZT 660 billion, down 6% from KZT 701 billion in the first half of 2024. This decline was mainly driven by a decrease in sales volume. Operating profit for the first half of 2025 reached KZT 254 billion a 12% increase compared to KZT 227 million in the same period of 2024. This improvement was mainly due to a decrease in the cost of sales related to a lower share of purchased uranium from JVs and associates in the total volume of sales to third parties. Net profit amounted to KZT 263 billion, down from the same period of 2024, this improvement was mainly due to the gain from consolidation of JV Budenovskoye and other one-off income recorded last year. When adjusted for these onetime effects, net profit decreased only by 5%. This adjusted figure was also impacted by a net foreign exchange loss of KZT 12.7 billion compared to a gain of KZT 7.3 billion in the first half of 2024. Taken together, these results underscore the resilience of our core business, the strength of our cost position and our ability to deliver solid operating performance despite market price fluctuations and external headwinds. In the first half of 2025, our C1 cash costs rose by 6% and our all-in sustaining costs increased by 10% in U.S. dollar terms compared to the same period of 2024. The main drivers of the increase in C1 cash costs were a higher mineral extraction tax rate and rising sulfur acid prices. On average, our cost of sulfuric acid increased by 46%, this reflects the ongoing price uncertainty in Kazakhstan's market as well as higher prices for imported volumes. In the first half of this year, sulfuric acid accounted for about 15% of the group's uranium production costs compared to 13% during the same period last year. For investors' convenience, we have also updated the sensitivity for mineral extraction tax in line with the new CPR report. As you can notice, the table itself changed very little with incremental changes across the board. The company leaves all guidance metrics for 2025 unchanged, except for cap sales volume range, which is reduced by 500 tonnes. This adjustment resulted from a shift in the 2025 delivery schedule where the contract delivery has been rescheduled to a later period aspect the customer's request. The group sales guidance for 2025 remains intact with the earlier announced range. Beyond our operational and financial results, I would like to highlight same major corporate developments. In July, we completed the payment of dividends for the year 2024, totaling KZT 328 billion or approximately $2.3 billion per share, GDR. Our dividend yield remains to be highest in the industry. Our Chief Executive Officer, Mr. Meirzhan Yussupov, has been elected to the Board of Governors of the World Nuclear Association, he is the first representative from Kazakhstan to join this key governing body. On 8th of August an inaugration ceremony was held for the beginning of construction of the first nuclear power plant in Kazakhstan. It's worth mentioning that Kazakhstan intention to build three nuclear power plants could create a substantial domestic demand in the future. with each plant requiring around 400 tonnes of uranium annually over their respective operational lifetimes, this translates to a cumulative demand of 72,000 tonnes. A portion of the company's production could therefore be allocated to national needs over time. As we conclude, I want to reaffirm our unwavering commitment to our market-focused strategy a keystone of our long-term success. Once again, with world-class assets, a sustainable reserve base and strong diverse sales portfolio. Kazatomprom is well positioned to capture the opportunities ahead. The company takes its role in strengthening global energy policy seriously, its leadership in ESG, combined with the scale of its operations, enables the company to remain a reliable and responsible supplier of natural uranium globally. We are ready to participate in diversification of utility supply sources and our strong position in this new cycle of long-term contracting reflects the trust and confidence the market places in us. Thank you for your attention. I'll now ask the operator to open the line to allow questions from this call's participants.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Andrew Wong with RBC Capital Markets.
Andrew D. Wong: Could you maybe provide a little bit more commentary on the 2026 production and the sulfuric acid supplies look like they might be above flattish or both stable versus 2025. Would it be fair to assume that maybe the 2026 production levels are somewhat similar to 2025, given that? And I know you can't provide specific numbers, but maybe just directionally what 2026 look like versus 2025?
Dastan Kosherbayev: Yes. Thank you. Thank you for your question. Well, this is an ongoing process, as we already mentioned. Right now, we're in discussion with our JV partners on whether was going on. There are a lot of implications. Certainly, I'd say it would be safe to say that the production level in 2026 may exceed the level in 2025. But the overall level would be disclosed further down the road, I guess.
Andrew D. Wong: Okay. And then regarding the extra sulfuric acid plants, back to that Kazatomprom is looking to construct. Has that started construction? And what's the time line on that day?
Dastan Kosherbayev: Well, as we previously disclosed, the time line was the second quarter of 2027 -- the end of first quarter of 2027, and we don't expect that to change. .
Andrew D. Wong: Okay. And has construction started yet? Or just the financing has been secured at...
Dastan Kosherbayev: No, the construction has already commenced overground under like the excavating works are in process as we speak. The construction preparation work and everything is basically according to the schedule.
Operator: [Operator Instructions] Your next question comes from the line of Alexander Pearce with BMO.
Alexander Robert Peel Pearce: Can you just provide a little bit more detail on the current contracting discussions that you're having it looks like in terms of total market, volume of contracts signed year-to-date, we're still well below replacement rates for utilities. And what do you think we need to see or what is going to drive the step up in contracting with utilities.
Dastan Kosherbayev: I'll let Seitzhan take this question since you get the information firsthand.
Seitzhan Zhanybekov: Many thanks for the question. I think it's fair to say that we're seeing more and more activity going on. Like this year, there were several requests for proposals being sent from the different parts of the world. It's been publicly known that utilities from the U.S. utilities from Europe and utilities from Asia. All of them are issuing requests for quotations and request for proposals. So indeed, a lot of procurement teams from utilities, they're looking at where the world is moving politically in terms of sanctioning in terms of tariffs, et cetera. And because of that, there is a lot of uncertainty. But even though we're seeing requests, we're seeing requests from the utilities, and it's meaning that they do need contract uranium for themselves. And so we have negotiations within the customers from the different parts of the world as they have mentioned. And all of -- many of them, many of them are interested in contracting in order to be sure that they do security supply for the needs of their nuclear power plants. So later this year, we are having a World Nuclear Association Symposium, which has usually been like another starting point for discussion as all the market players are attaining that and gathering one, please. in order to start with negotiations, start the discussion, and we might see more activity after the World Nuclear Association's Symposium that's going to be in 2 weeks from now.
Alexander Robert Peel Pearce: Great. Maybe I can just ask a second question. You reiterated CapEx guidance for this year, but your CapEx spend in the first half of the year was below half. How confident are you that you're going to get to the full CapEx guidance level by the second half of the year.
Dastan Kosherbayev: Thank you for the question. Related with the capital expenditures, actually, most of the capital expenditures are basically are done at the end of the year. That is why we have now a little bit lower than the expected level of capital expenditures. That is why we plan to be in our guided levels. That is why we don't have any big problems related with the capital expenditures. So from last period, you can also see that the capital expenditures in the first half is a little bit lower than it is in the total year. So that is why it's not appropriate to see to try to catch half of capital expenditures in the half year period.
Operator: The next question comes from the line of Grace Symes with Energy Intelligence.
Grace Symes: I noted that it says there's been an increase in cost due to changes in delivery destination points and then an increase in transportation pay I was just curious if you could say anything more in terms of what delivery destinations are being switched and if those transportation tariffs are the Trans-Caspian route or somewhere else? .
Seitzhan Zhanybekov: Grace, it is Seitzhan here. Yes, thanks a lot for the question. I think that's a common knowledge in the market right now that a lot of utilities ask to deliver us to -- ask to deliver uranium to ConverDyn to Metropolis plant, and ask for transfers there. And for us, it's literally the other parts of the world. And because of that, the transportation takes a bit more -- the transportation has been a bit more expensive than, for example, to China or to Russia. . We do utilize the Trans-Caspian routes, and we do not provide any breakdown on a half year basis. So when we would provide a 2025 results, there would be an information of how much of uranium to the west when thorough the Trans-Caspian route and how much went through the St. Petersburg.
Grace Symes: And Sorry, one more question. So you mentioned the downgrade or the decrease in the subsoil use agreements for 2026 is mostly due to JV Budenovskoye. Are there any other projects that are expected to have their agreements decreased as well.
Dastan Kosherbayev: Apart from Budenovskoye, this is Dastan here. APAC has also revised their production program, but the exact figure is best to be viewed at the CPR report.
Operator: [Operator Instructions] Our next question comes from the line of Pavel Kirjanovs of Bank of America.
Pavel Kirjanovs: I have two questions as well actually. Can you talk about the uranium market overall, how do you see the uranium supply demand balance? And is it right to think that the fact that your '26 production is still under review means that the current market balance is not as obvious as it was previously.
Seitzhan Zhanybekov: Thanks a lot for the question. Indeed, we're witnessing the changes in terms of market fundamentals, like quite recently, I've heard an opinion that there were discussions regarding deficits, the deficit is coming for many, many years and deficit was not coming. But I think this time is -- we are seeing that, and it's getting closer, like because years ago, like I don't know, back in 2015, when people were speaking about the deficit, they've been speaking about 10 years from that time. Now we're speaking about 5 years period from now. I mean in the end, utilities do understand that. On an annual business, we do the customer survey of our customers, and we are asking what has been priority for them when they do it through the supplier, and starting for the last 2 years, the priority for our customers is being the security of supply, not the price. And I think that's a true sign that utilities do understand that there is a need to secure supply for them as the deficit is coming in the long run. But overall, there is a lot of political uncertainty, which stops utilities from doing like which forces utilities to do some other things in relation to secure conversion and enrichment services provision. But later on, the uranium is being in the base for the nuclear-fuel cycle, and there would be a need to procure uranium in any way.
Pavel Kirjanovs: And my question -- my second question is on Budenovskoye, can you give us a bit more color on the progress of the infrastructure build-out over there and the overall ramp-up? I believe the previous plan was to have two phases, right? So Phase 1 over '24 and '25 and then Phase 2 over '25 and '26 -- is that still the case? And have you now moved to Phase 2. .
Dastan Kosherbayev: Right now, we're in the progress of concluding a lot of contracts with subcontractors over Budenovskoye. So everything right now is according to track. We've been able to settle all outstanding issues with the health and safety regulations, the water management regulations and everything that was imposed upon us by the state. So it's a negotiating process between the company and everything. Like everyone involved. But the project on construction of a processing shop with the annual capacity of 6,000 tonnes is progressing in accordance with the schedule, as we've already stipulated. And all accelerate things well. And I'm speaking here from the point of knowledge, just to give you more confidence with regards to that because I'm the Chairman of the JV Budenovskoye Supervisory Board.
Operator: Our next question comes from the line of Andrew Wong with RBC Capital Markets.
Andrew D. Wong: Can I just clarify when we would have some more certainty on the 2026 production guidance? Would that come in January when we get the trading update for Q4? Or is that -- or can we expect it more in March when you report the full year results for 2025?
Dastan Kosherbayev: Yes, the trading they update in January, that's when we -- when you should expect the figures to be disclosed. But as I've said, this is a dynamic process. February sorry, in early February. I missed -- I said January. I meant in early February.
Andrew D. Wong: Okay. Perfect. And then the inventory levels look like they increased a little bit, but they are still below what they were in 2023 and 2022. Are you still comfortable with the level of inventory you have on hand today? Or does that number need to be built up a little bit more?
Seitzhan Zhanybekov: Andrew, it's Seitzhan here. Yes, we do feel comfortable with an covering level of inventories. It makes us comfortable in terms of being sure that we would be able to fulfill our obligations towards of delivering to the uranium to our customers in any place of the world.
Andrew D. Wong: Okay. That's great. And then just on the new nuclear plants in Kazakhstan. It's pretty exciting to be adding nuclear power to the energy mix there. Can you just maybe expand on Kazatomprom's role in that process?
Dastan Kosherbayev: Yes, sure. I'd be happy to do that, Dastan here once again. Well, as you know, Kazatomprom as a separate entity is not involved in the decision-making process or anything associated on how and where and what going to be built. But as a supplier and the biggest in the world supplier of natural uranium, of course, we take into consideration potential future demand coming from this nuclear power plant. So in all our strategic endeavors and plans that we foresee for the future, we take these considerations into account. But as I've said, we are not involved in the direct negotiations between the separate entity the Kazakhstan nuclear power plant company, the one that's dealing with this process. But then again, I mean simply speaking, if they built one gigawatt reactor, the consumption level is basically around 250 tonnes of natural uranium per year from 250 to 400 tonnes. So it's not that...
Andrew D. Wong: Okay. And do you have a sense on when the contracting for those volumes might have to take place? Or is that closer obviously closer to when it's constructed. So maybe would it be 3 or 4 years ahead of that? Or just trying to get a sense of it.
Dastan Kosherbayev: That's going to be some time well into the next decade.
Operator: [Operator Instructions] Our next question comes from the line of Anna Antonova with JPMorgan.
Anna Antonova: I'm Antonova from JPMorgan. Just maybe two follow-up questions from our side. So first, on the subsoil use agreements, you mentioned the changes and the adjustments to the levels in 2025 and 2026. Also somewhat in line with what Kazatomprom was kind of doing in the last couple of years. So my first question is, could you please maybe comment on whether there are any discussions that are currently held or maybe are planned for any changes to the subsoil use agreements in 2027? Or maybe comment on how these discussions are generally structured in terms of timing and process? That would be very helpful. That's my first question. .
Dastan Kosherbayev: Well, I think it's too early to discuss what's going to happen in2027. We usually do it a year ahead. I wouldn't be able to comment anything with regards to 2027. In terms of how the process happens, like basically, there are several stakeholders involved in the process that will be the partners from the joint ventures and the government itself. Previously, that would be the Ministry of Energy. But since spring of this year, it's the agency for nuclear -- agency for nuclear energy that has been recently established in Kazakhstan. Just one note, I mean, for everyone to understand the revision of a subsoil use contract, it's a very lengthy and challenging and complicated process because it takes a lot of justification neither you want to decrease it or increase it either way. So the government has a very fantastic stance on that, please go ahead, sorry.
Anna Antonova: Sorry, please.
Dastan Kosherbayev: You said that I just wanted to stipulate that. It's a challenging process because people always talk about revising subsoil use legislation -- I mean, contracts, but it sounds easy, but in fact, there is a lot of background work done.
Anna Antonova: That's very helpful. My second question is on the rare metals production in H1. So we noticed that Beryllium and tantalum products sales and tolling decreased year-on-year in H1. So my question is whether we can consider this seasonal effect or kind of the adjustments to the plans of rare metals production for this year or for the medium term, especially given that this is the area of the strategic focus for the company.
Seitzhan Zhanybekov: It's Seitzhan here. Yes, indeed, there are several factors that have been a part of the changes that you have mentioned, seasonality has been one of them. And also the current geopolitical tension is being the other factors that affects the breakdown of sales of rare metals sector. . But in general, like in a long run, we're not seeing anything that would significantly affect the numbers of the our sales of rare metals, including Beryllium, Tantalum and Niobium there might be some changes in terms of the market price because Tantalum has been one -- has been one of commodities is being traded more or less publicly, and there is a market price for that. And there are fluctuations of the market price for that. The same as in Beryllium and Niobium, but there have been more of the off-market commodities than market rate commodity. So indeed, yes, we are being affected by the market prices. We are also looking -- the reason and seasonality. But in the long run, we are not seeing anything that would should affect our sales of rare metals significantly.
Anna Antonova: Very clear. And the final question from our side. Is there any update on the potential expansion of the footprint in the nuclear fuel cycle kind of going downstream for Kazatomprom given, again, it's one of the strategic areas for the company. And I mean, with the nuclear power plant in Kazakhstan, kind of are now in motion for construction approval and everything. Are there any more active talks maybe now around the enrichment or kind of settling -- setting enrichment and/or processing capacities in Kazakhstan, given the developments on the kind of consumer side?
Dastan Kosherbayev: That is an excellent question. That is a dynamic and ongoing process basically as we speak. We have several discussions with different parties involved. But as it stands, there is nothing to announce yet, but I think the announcement will follow in due course, maybe not this year, maybe next year. But as you've stipulated this is a strategic direction that we're going to move into but we always like to reiterate to everyone that most and foremost, the most important thing is to have the economic visibility and a guaranteed demand for any future production of any potential conversion on engagement capacity.
Operator: Our next question comes from the line of Grace Symes with Energy Intelligence.
Grace Symes: I'm just curious, you mentioned in your results that during in term price has remained around $80 per pound. And that is not viewed as sufficient to return to 100% subsoil use agreement levels. I'm curious if there's like a specific price that would merit returning to 100% level. And if you think that $80 per pound kind of reflects the actual contracting that's going on in the market.
Dastan Kosherbayev: Well, Grace, it appears as if you're asking whether there is an incentive price for us to -- that we're going to rely upon with regards to our production level. Am I correct?
Grace Symes: Yes, sort of , which I assume you'll not answer directly, but...
Dastan Kosherbayev: Well, we know each other well enough at this point, I guess. So -- and it's not that I don't want to answer, it's just like I don't have an answer because we do have the incentive price we have a different methodology here. And then again, I'm not at liberty to disclose this once again. But well, as history shows us our market-oriented approach basically guides us with regards to production levels. So yes, we -- basically, of course, we take into consideration what's going on with overall market price, but that's not a deciding factor overall, if one may say so. There are a lto of implications. There are a lot of implications attributed to that.
Operator: Our next question comes from the line of Paul Kirjanovs of Bank of America.
Pavel Kirjanovs: I just wanted to ask on sulfuric acid. So saying the is that 2026 supplies are estimated to be stable. You're also progressing your old plant to chat. And if I understand correctly, there are also two more asset plants coming online in Kazakhstan next year. does all of this mean that sulfuric acid issues are largely behind us now? Or does there still remains uncertainty on supply of super acid in the country?
Dastan Kosherbayev: Well, overall, it is safe to say that the challenges we faced back in the end of 2023, the beginning of 2024 or path beyond us. But then again, we cannot completely decide or guarantee on the behavior of the sulfuric acid producers, which in their turn are trying to maximize their profits by demanding the highest price possible. But overall, I don't expect any production shortfalls. We do not expect any production shortfalls associated with lack of sulfuric acid price, not the with lack of price, but associated with high sulfuric acid prices.
Operator: And that concludes the question-and-answer session from the audio line. I will now pass the call back to Ms. Muldagaliyeva to take written questions from the webcast participants. Please go ahead.
Botagoz Muldagaliyeva: Thank you very much. We have several questions that were submitted through the written line. And the first one is coming from the individual investor, [ Mr. Samo Jarvela ]. So the question is what is going on with annual energy pounds?
Seitzhan Zhanybekov: It's Seitzhan here. Yes. Thanks a lot for the question, but we're not authorized to comment on that. As we are not being in a part of the ANO's Board of Directors. We are not being represented there. We're only a shareholder of that. Should you have any questions regarding ANO's plans to -- regarding how they're going to manage that they have on their accounts. Please refer to our IR team, and we will be able to provide you can to details of the Board of Directors of ANO.
Botagoz Muldagaliyeva: The next question is coming from Citi. Hello from Citi and thanks for your presentation. What's the reason for the restatement in the accounts? And the answer will be provided by Mr. Khassanov, who is the Managing Director of Economics and Finance.
Ulan Khassanov: Thank you for the question. Actually, it's not a restatement, actually, it's just an explanation of the additional income that was actually reported last year. it was actually mostly related with the incurring the control on Budenovskoye. That's why we have put it in our accounting that about KZT 295 billion as additional nonmonetary income for occurring the control on the Budenovskoye. That's why actually, we shouldn't say that it's a real statement. It's just an explanation of what happened last year.
Botagoz Muldagaliyeva: Yes, the next question is coming from Arthur Hyde from Segra Capital Management. Congratulations on the impressive results. The company continues to see increased cash flows and today has a significant net cash position. Can you please speak to the company's options from a capital allocation standpoint? Do you foresee cash levels continuing to rise? And if so, would the company entertain a special dividend or share buyback question. buyback option. So the answer will also be answered by -- answer will be provided by Mr. Khassanov.
Ulan Khassanov: Thank you for the question. Actually, Kazatomprom is showing the great results last year. And you can see that our all financial positions, all indicators are very good. That is why -- and also, we don't know -- you do know that our dividend policy is related -- is based on the free cash flow. That is why we are not expecting to change it, and we are not expecting any additional dividends or any buybacks. That's why the main idea of our initial dividend policy was related with the all cash flow, which is available for dividend payments, should be paid to our shareholders. So we are still on this position and no big changes are going to happen related with the dividends. And none other optional or additional dividends related with this excess cash flows will not happen. .
Botagoz Muldagaliyeva: The next question is coming from Alex Bedwany, Canaccord Genuity. Hi team, nice results. Can you please update on the Sulfuric acid plan? Have permits been received?
Dastan Kosherbayev: Yes. Alex, once again, I guess safe to say that the permit has been received, as I already said. And basically, it's an ongoing process that is happening as we speak.
Botagoz Muldagaliyeva: Thank you, Mr. Kosherbayev. The next question is coming from Benjamin Finegold from Ocean wall. And the question is, when do you expect to see India emerging as a larger regional buyer of Kazatomprom production how considerations going with Indian utilities? And do you expect India to become a top 5 destinations for Kazatomprom production before 2030. The answer will be provided by Mr. Zhanybekov.
Seitzhan Zhanybekov: Thank you, Ben, for the question. We have worked with Indian counterparties regarding supply uranium and these contracts were publicly like we have disclosed that we have been working with Indian utilities. And being the largest uranium producer, and we -- I think we've been in a short list in terms of when they do consider the uranium procurement. And quite recently, there was a news from India that India has decided to nearly quadruple its uranium imports by 2033, which has been the part of their National Nuclear Energy mission in order to support the country's growing fleet of nuclear reactors. So as I mentioned, Kazatomprom is being the world's largest in producer and we would be happy to provide uranium there. So we have always been in contact within the counterparty from India. And shall there be any changes you might see it publicly disclosed if there would be any significant changes.
Botagoz Muldagaliyeva: The next question is coming from Max Christoph, the individual investor. And the question is, you have big changes in net working capital. what is behind the big decrease in receivables in Q1 '25? And what do you expect for the rest of the year? And the answer will be provided by Mr. Khassanov.
Ulan Khassanov: Thank you for the question. Actually, the decrease of the receivables related with the sales that were happened in the last quarter of 2024. So we did have receivables at the end of last year. So after the payment of them, we have decreased the amount of receivables. This is the main issue of it. This is the main cause of it. So actually, in an annual basis, it can be changed year-by-year because the sales are not happening at the same time, each period. That is why if we have, for example, sales in October, and we have received the cash flow in December. So the receivables also will be in a low level. So this is related with the time issue related with the sales of volume.
Botagoz Muldagaliyeva: Yes. Thank you, Mr. Khassanov, the next two questions coming from [indiscernible]. The first one is what were the reasons for revision of Budenovskoye 2026 production? And the answer will be provided by Mr. Kosherbayev.
Dastan Kosherbayev: Thank you for this question. Well, it's not only 2026 production has been revised for Budenovskoye, but in 2025, 2027. We previously explained this, and I'm happy to do so once again. The issue basically lies in -- as you know, Kazakhstan is a water scarce country. We had a new ministry that was established back '22 with the water management industry. And then they had to revise the entire legislation associated with water consumption, health and safety regulations. And in order to for the JV to be in line with everything that the government expected, they had to revise everything and that basically halted the entire program. That's why we had to switch. And that's why we were able to successfully negotiate the production level with the government because they understood the rationale behind such an initiative. I hope this answers your question. And the second part is going to be answered by Mr. Khassanov.
Botagoz Muldagaliyeva: Yes. The second question is materials and supplies expenses declined 16% year-on-year in first half of 2025. Should we expect decline on this line for the full year results of 2025?
Ulan Khassanov: Thank you for the question. Actually, the expenses related with the materials and is including the purchased uranium in the P&L statement. That is why due to the decrease of spot prices, we do have declined amount of materials. So if the spot price stays the same, which is lower than the period of the last year, so we will see the decline in materials. So we should understand the most part of the huge part of the materials includes the materials that are purchased like uranium productis -- uranium products. .
Botagoz Muldagaliyeva: Yes. And the last question so far is coming from [ Daniel Serco ]. Over the past year, it has become known that foreign companies such as C-29, and Laramie will be looking for uranium in Kazakhstan, including the areas near by Kazatomprom mines. At the same time, uranium exploration in the country is expected to become the exclusive prerogative of Kazatomprom next year after the subsoil code is amended in parliament. Do you plan to obtain licenses from these companies or the affiliates?
Dastan Kosherbayev: Thank you for this question. Well, as you probably know, the legislation allows for a uranium exploration to be carried out by any company. It's only the production that needs to be carried out as a compromise participation. So I guess it is too early to say or to discuss the matter. And with regards to suggested changes to the legislation in no position to comment on that. So I think we should discuss this burden down the road.
Botagoz Muldagaliyeva: Thank you, gentlemen. I do not see any further written questions submitted so far. Operator, could you check if there are any additional questions coming in?
Operator: As of the moment, there are no further questions on the conference line.
Botagoz Muldagaliyeva: Okay. Thank you very much. Since there are no questions, thank you, everyone, for participating in today's call. Thank you, and thanks to our management for taking all these questions. As always, if there are any additional questions that might come. Based on our results, please feel free to contact IR team. We're always happy to answer those in written. Thank you very much, and have a good day.